Company Representatives: David Hutchens - President, Chief Executive Officer Jocelyn Perry - Executive VP, Chief Financial Officer Linda Apsey - President & Chief Executive Officer, ITC Holdings Corp. Charles Freni - President & Chief Executive Officer of Central Hudson Stephanie Amaimo - VP, Investor Relations
Operator: Ladies and gentlemen, thank you for standing by. My name is Michelle and I will be your conference operator today. Welcome to the Fortis Q4 2020 Conference Call and Webcast. During the call all participants will be in a listen-only mode. There will be a question-and-answer session following the presentation. [Operator Instructions]. At this time, I would like to turn the conference over to Stephanie Amaimo. Please go ahead, Ms. Amaimo.
Stephanie Amaimo: Thanks Michelle and good morning everyone, and welcome to Fortis' fourth quarter and annual 2020 results conference call. I'm joined by David Hutchens, President and CEO; Jocelyn Perry, Executive VP and CFO; other members of the senior management team; as well as CEOs from certain subsidiaries. Before we begin today's call, I want to remind you that the discussion will include forward-looking information, which is subject to the cautionary statement contained in the supporting slide show. Actual results can differ materially from the forecast projections included in the forward-looking information presented today. All non-GAAP financial measures referenced in our prepared remarks are reconciled to the related U.S. GAAP financial measures in our 2020 annual MD&A. Also, unless otherwise specified, all financial information reference is in Canadian dollars. With that, I will turn the call over to David.
David Hutchens: Thank you and good morning everyone. I'm happy to be hosting today's call from snowy St. John's as Fortis’ new President and CEO following Barry Perry retirement at the end of 2020.  Before we get started today, I hope you're all staying safe and healthy as we continue to manage our way through this pandemic.  As we look back on 2020, it proved to be a successful year at Fortis on many fronts, despite the challenges that the year presented. The value of our locally driven business model has never been more evident. Our teams across North America leaned on our shared values and each other to find the best solutions to navigate through the year.  We continue to demonstrate our commitment to safety, while delivering essential service to our customers with the high level of reliability that they have come to expect, even with the pandemic and record weather impact at several of our subsidiaries. And we kept moving our business forward. We invested $4.2 billion in our systems, our largest annual capital spend to-date, increasing our rate base by 8%.  On the sustainability front, we announced a corporate-wide target to reduce our carbon emissions 75% by 2035 compared to 2019 levels. We also saw the constructive resolution of key regulatory proceedings, including TEP's recent general rate application which Jocelyn will speak to shortly.  2020 was a strong safety and reliability year for Fortis. In fact, we recorded the best safety performance in our history with safety incidents decreasing 25% over the prior three-year average. This was a significant accomplishment during a pandemic and the execution of our record capital investment plan.  On the reliability front, we remain consistently in the top quartile relative to our Canadian and U.S. peers. This continued focus on reliability doesn't go unnoticed. Last month, two of our utilities, ITC and Central Hudson were presented with the Edison Electric Institute Emergency Response Awards. ITC was recognized for its quick and safe restoration, following the derecho windstorm in Iowa, and Central Hudson was recognized for its outstanding storm recovery performance following tropical storm Isaias. We are incredibly thankful for the crews and customer service teams as this would not have been possible without their hard work and dedication. In 2020 our management teams were able to tap into a vast network of expertise across the Fortis Group to stay focused on what matters most to our employees, customers, and local communities. Approximately half of our 9,000 employees transitioned to working from home, while our field operations and critical onsite functions adapted operations to ensure we safely kept electricity and natural gas flowing to our customers.  We supported our 3 million customers during the pandemic by offering flexible payment options, suspending disconnections, waiving late fees, and deferring scheduled rate increases. And in the communities we serve, we donated over $15 million throughout the year, including $5 million specifically for COVID-19 community support.  As we have noted in the past, our sales are trending consistent with the industry. Generally speaking, we continue to experience higher residential sales, tempered by lower commercial and industrial sales. In 2020, 83% of our revenues were from residential sales or protected by regulatory mechanisms, with UNS and our Other Electric segments having the most exposure to changes in sales.  During the fourth quarter, retail sales at these segments increased by 1%. Favorable weather in Arizona contributed to higher sales at UNS, but excluding weather-related impacts, sales at UNS were still up 2% over the same timeframe in 2019. For our Other Electric segment, sales were down 3% in the quarter driven by reduced tourism in the Caribbean.  During the year, our utilities invested $4.2 billion into our energy systems. This record level of capital was $400 million higher than 2019, increased the rate base by 8% and represents investments to support delivering a cleaner energy future. Notably, we invested $500 million during the year in the Oso Grande Wind Project in Arizona. This 250-megawatt wind generation facility is owned by Tucson Electric Power and will complement their existing solar generation portfolio. Commissioning is expected to be completed in the first half of 2021.  In 2020, we establish a corporate-wide carbon emissions reduction target of 75% by 2035. All of our utilities will contribute to the corporate wide target with the majority being underpinned by TEP's Integrated Resource Plan. This plan calls for an additional 2,400 megawatts of wind and solar and 1,400 megawatts of energy storage to support the closure of all of TEP's coal generation assets by 2032. TEP alone will almost quadruple the current renewable energy generation capacity of Fortis by 2035.  Additionally, CUC's Integrated Resource Plan calls for adding 170 to 200 megawatts of solar. By 2035, we expect 99% of our assets will be dedicated to energy delivery or carbon-free generation.  We remain focused on continuously improving our already highly ranked ESG profile. From a governance perspective, we are consistently recognized for our practices that are grounded in local leadership and independent board oversight. In 2020, we launched our corporate-wide inclusion and diversity council, signed the BlackNorth initiative, and continued our focus on gender diversity. Today, 60% of our utilities have either a female CEO or Board chair and women represent 40% of the Fortis Board.  Turning to slide 11, this past September we rolled out our new $19.6 billion, five year capital plan, reflecting approximately $4 billion of annual investment in our utilities. Virtually all of our planned investments are regulated and consists of a diverse mix of highly executable, low-risk projects needed to maintain and upgrade our Energy Infrastructure. The capital plan is expected to grow rate base from $30.5 billion in 2020 to over $40 billion in 2025, an increase of $10 billion or nearly one third. This yields a five-year compound annual growth rate of approximately 6%.  Within our portfolio of utilities, there are several opportunities to expand and extend investments across our businesses, including connecting renewable energy resources to the grid, adding LNG infrastructure, increasing investments in energy efficiency, and expanding low carbon transportation.  Additionally, the Biden administration has proposed a sustainable infrastructure and equitable clean energy plan calling for net zero emissions in the U.S. by 2050 and carbon-free power from the electricity sector by 2035. This could accelerate capital investments in our U.S. utilities through transmission interconnections of renewables at ITC, Clean Generation and Energy Storage in Arizona, and Electric Vehicle Infrastructure in the nine U.S. states we serve today.  In the fourth quarter, we increased our quarterly dividend by 5.8%. This marked 47 consecutive years of dividend increases. With our low risk energy delivery business and strong growth outlook, we remain confident in our ability to execute on our 6% average annual dividend growth guidance through 2025. I will now turn the call over to Jocelyn, for an update on our fourth quarter and annual financial results.
Jocelyn Perry : Thank you, David, and good morning everyone. For the quarter, adjusted net earnings was $320 million or $0.69 per share, $43 million or $0.07 per share higher compared to the Q4 2019.  For the year, adjusted net earnings was $1.2 billion or 7% higher than 2019; adjusted earnings per common share was $2.57. This represents a $0.02 increase compared to last year despite the significant equity issuance at the end of 2019. Now I'll get into the details of the drivers of earnings and EPS growth on the next two slides.  Slide 15 highlights the EPS drivers for the quarter. Starting with our largest utility, ITC contributed a 5% EPS increase for the quarter. The increase related primarily to rate base growth and timing of earnings associated with the November 2019 FERC ROE decisions. Our U.S. Electric and Gas Utilities contributed a $0.03 EPS increased for the quarter.  Our Arizona business contributed a $0.02 EPS increase, driven by higher retail sales and an increase in the market value of certain assets held in trust to support retirement benefits. The increase was tempered by rate based growth not yet included in rate and incremental credit losses associated with the pandemic.  In New York, Central Hudson increase EPS by $0.01, driven by rate-base growth, and the $0.02 EPS increase for our Other Electric segment was mainly attributable to timing of purchase power costs at Newfoundland Power.  Our Energy Infrastructure segment contributed a $0.02 EPS increase, driven by production at the Belize Hydroelectric Generating facilities due to higher rainfall. As you might recall, Belize experienced drought like conditions for most of 2019.  The $0.01 EPS decrease for our Western Canadian Utilities was mainly due to timing of operating expenses at FortisBC, and in our corporate and other segment the $0.01 EPS decrease was mainly due to a lower income tax recovery, offset by lower finance charges and operating costs. And lastly, a higher number of shares contributed a $0.03 EPS decrease for the quarter. Now to slide 16. Adjusted 2020 EPS increased $0.02 to $2.57 compared to 2019. EPS contribution from ITC was $0.06 higher compared to last year, driven by strong rate based growth as a result of record capital investment of $1.2 billion made in 2020. A higher base ROE and lower business development expenses also contributed to the increase.  Our U.S. Electric and Gas Utilities contributed a $0.03 EPS increased compared to last year. A $0.02 EPS increase in Arizona was driven by higher retail sales, mainly due to favorable weather and as you recall, Tucson experienced its hottest summer on record in 2020. The increase was offset by similar items we noted for the quarter, including regulatory lag and incremental pandemic related costs.  The $0.01 EPS increase at Central Hudson was driven by rate based growth, offset by an increase in costs associated with COVID-19. Central Hudson continues to track all COVID-19 related costs in conjunction with the generic proceeding, initiated by the New York public service commission.  Our Western Canadian utilities contributed a $0.03 EPS increase driven by rate base growth, offset by the impact of the PBR efficiency carryover mechanism recognized at FortisAlberta in 2019. Our Energy Infrastructure segment contributed a $0.03 EPS increase, driven again by increased hydroelectric production and the $0.01 EPS increase for our Other Electric segment was mainly attributable to higher income from Belize Electricity, offset by lower commercial sales in the Caribbean.  Next, a higher U.S. dollar to Canadian dollar foreign exchange rate favorably impacted annual results by $0.01. Lastly, our higher weighted average share count from the advancement of our equity funding in late 2019 lowered EPS by $0.15.  As we look across all segments in 2020 COVID-19 impacted annual EPS by approximately 5%. This mainly related to the decline in tourism in the Caribbean, as well as incremental pandemic related costs at UNS Energy and Central Hudson.  As you can see on slide 17, the bulk of our five year capital plan is expected to be funded with cash from operations and debt issued at our regulated utilities, with the remaining 6% funded through our dividend, reinvestment program. With the recent reinstatement of the 2% discount on the drip program, participation has increased to approximately 35%, consistent with 2019 levels. This level of participation provides additional funding flexibility for Fortis.  We continue to remain strong liquidity with over $4 billion available on our credit facilities. Our utilities were active in the debt capital markets in 2020, taking advantage of favorable pricing and issuing approximately $3.5 billion of long term debt, including the issuance of green bonds at both FortisBC and TEP. Our funding plan and strong liquidity positions us well as we continue to work through the pandemic and execute on our capital plan.  In 2020 we achieved a cash flow to debt ratio just over 12% and a holding company debt ratio of 34%. Back in 2018 we indicated that U.S. Tax reform was expected to temporarily impact our cash flows and credit metrics. Since 2018 our cash flow and holding company debt ratios have improved by 170 and 500 basis points respectively. These improvements mainly reflect actions we took in 2019, including the accelerated equity issuance and the sale of the Waneta Expansion, along with the strong credit profile of our regulated utilities.  And even through the pandemic, we've maintained a strong credit profile as our utilities manage cost and regulatory mechanisms that serve to stabilize cash flow and earnings have operated as expected. In addition, a number of our key regulatory proceedings have concluded with constructive outcome. Overall our credit metrics, coupled with Fortis low business risk profile, positions us well within our existing investment grade credit ratings.  Turning now to the recent changes in the U.S. dollar to Canadian dollar, about two-thirds of our earnings and a similar portion of our five year capital plan come from the U.S. And as a reminder, our five year capital plan is currently based on a foreign exchange rate of 1.32.  To help mitigate foreign exchange exposure, we do use natural hedges, including approximately $2 billion in U.S. denominated corporate debt and forward foreign exchange contract. With our hedging strategy every $0.05 change in the U.S. dollar to Canadian dollar exchange rate is expected to impact annual EPS by approximately $0.06 on average and would result in a $400 million change in our capital five year plan. On balance, we remain comfortable with our hedging strategy, but will continue to monitor exposure going forward.  As David mentioned earlier, 2020 was a busy year as many key regulatory proceedings concluded. Most recently, the Arizona Corporation Commission issued a constructive rate order in the Tucson Electric Power General Rate Application filed in early 2019. Overall we were pleased to bring the rate case to conclusion at the end of 2020.  The new rates effective January 1 reflect the requested rate base of approximately US$2.7 billion, equity thickness of 53% and allowed ROE of 9.15%, plus the return on fair value increment of 20 basis points. TEP also received approval of two new adjusters. The first is the tax expense adjuster mechanism and the second is a transmission cost adjuster, both help to reduce regulatory lag at the utility.  Now turning to an update on some of our ongoing regulatory proceedings. At ITC the notice of proposed rulemaking on transmission incentives remains outstanding. This item was on FERC’s January open meeting agenda, but was deferred with no clear visibility on timing of next steps.  In August, Central Hudson filed a general rate application with the New York Public Service Commission, as its current three year rate plan concludes on June 30, 2021. Settlement discussions commenced last week and we expect a decision in 2021.  Last month the British Columbia utilities commission announced that a generic cost to capital proceeding will be initiated in the spring for all regulated utilities in BC, including our gas and electric businesses, to set cost of capital parameters effective January 1, 2022.  In Alberta we received a decision on the 2021 generic cost of capital proceedings. Current cost of capital parameters remain in place on a final basis for 2021. In December the AUC initiated a new proceeding to establish post 2021 parameters with a decision expected by the end of the year.  And lastly, in November the AUC issued a decision on the Alberta Independent System Operator tariff application, resulting in FortisAlberta retaining approximately $400 million in transmission related investments. A new proceeding was initiated by the AUC to assess whether the customer contribution policy should be modified on a prospective basis for future transmission related investments. A decision is expected in the second quarter of this year.  And with that, I'll now turn the call back to David. 
David Hutchens : Thank you, Jocelyn. Our 2020 results are a testament to our business model and our people, demonstrating what we can achieve when we come together as one strong company. Personally I'd like to express my sincere thanks to our 9,000 employees. They have shown tremendous commitment and dedication in serving our customers throughout this pandemic and I'm proud to be part of this team.  As we move forward, safety, affordability and reliability will continue to be front and center in everything we do as we grow our premium energy delivery business. With the tremendous potential in our company, coupled with our low risk growth platform and strong ESG profile, I couldn't be more excited to be leading Fortis.  I will now turn the call back over to Stephanie.
Stephanie Amaimo: Thank you, David. This concludes the presentation. At the time we like to open the call to address questions from the investment community. 
Operator: Thank you. [Operator Instructions]. And your first question will come from Ben Pham from BMO. Your line is open. 
Ben Pham: Hi, thanks. Good morning. I know you mentioned the $0.05 impact from COVID-19. Does that include the expected impact of the delay in the TEP rate case? And if not, are you able to actually quantify what that impact was for 2020? 
David Hutchens: Yeah, no, that doesn't include the TEP delay impact, and Jocelyn can fill in the second half of that question. 
Jocelyn Perry: Yeah, no Ben. It just includes the, I guess the lost earnings in the Caribbean due to tourism and also credit losses mainly for Central Hudson and UNS. The TEP rate case, yes, it was effectively delayed because of COVID, but it was substantially offset by the hot weather that they had. So, we didn't classify that TEP was disadvantaged because of COVID because they made up for it in warm weather. 
Ben Pham: Okay, so that – so we, if you look at the impact in the warm weather, that gives you there actually what the impact of the rate case was then?
Jocelyn Perry: Yeah, for sure. I mean there was delay because of a pandemic; and so yes, you are right. It is a COVID-related impact for TEP. It’s just that it was offset by the fact that they had obviously the hottest temperatures on record. 
Ben Pham: I know from your slide you mentioned 99% assets regulated, and that’s your target for 2035. What is your appetite for non-regulated assets in this environment, whether it's EV vehicles, hydrogen, renewable assets, non-regulated. I mean is there any appetite for you guys in this market?
David Hutchens: Yeah Ben, so I think there's a lot to unwrap there in that question, because there's a whole bunch of different sort of unregulated investments that you listed there. When you think about hydrogen or some maybe even renewable natural gas that we might be doing out, that we could be looking at doing out in BC, you know there are some things around the edges of our normal business that we continue to look for and look at.  Obviously, our priority is executing that $19.6 billion capital budget, and then also looking at how we can extend and expand that based on the drive for more renewables in the U.S. and across Canada. So, our main focus is execution on the regulated rate base that we have and adding to it where we can.  As far as the unregulated, you know the assets; we will look at doing them if they make sense, right. They have to have the right risk and return. We have to have the expertise in being able to execute it. If those things match, then we'll look at doing it, other than that we won’t. 
Ben Pham: Okay, very good, thank you. 
Operator: And your next question will come from Robert Kwan from RBC Capital Markets. Your line is open. 
Robert Kwan: Good morning. Just wondering if you've got some thoughts on the early actions out of the Biden administration and the impact of your utilities, including any commentary on FERC policy and how you think that might play out.
David Hutchens: Yeah Robert, good to hear from you. Yes, this is obviously a big item of conversation across our industry. We're trying to all figure out what all of the – all the executive orders mean, the policy changes, the new commissioners at FERC, the new Chair at FERC. I think we all get the fact that directionally where this is going.  Obviously, with the Biden administration coming in very, very focused on reducing greenhouse gases, a very strong push towards electrification of things like transportation. It means that there's going to be a lot more in our electricity sector that's going to need to be invested in over the next years. I mean when you think about not just the regular transition that has already been laid out by so many utilities from coal to renewables including us and Arizona, now you're looking at not just that transition particularly in ITC's footprint.  You know there’s big utilities in their foot print that are looking at doing the same thing, not just that transition from coal to renewables, which needs renewables and of course then needs the transmission to connect those renewables to where the customers are, but also it's going to be driving a lot of electricity demand as we look at electrification efforts.  So directionally we know it's going up. It's really hard to determine at this point what the magnitude and the speed of those changes will be, and that's what we're working hard on doing across our different jurisdictions. This could mean acceleration of the transition plan that we have at TEP from coal to renewables, as you will recall, and then we talked about quite a bit. We have a lot of investments, $4 billion to $6 billion level of investments that we would need to do in order to get to that transition, and most of that is outside the five-year capital plan.  So maybe some of the things, some of the incentives that the Biden administration does, brings that closer in. Maybe there's incentives that can go for the impacted communities where those power plants are that could allow us to accelerate some of that stuff, but boy, that big EVpush, there's this conversation on social cost of carbon, where is that going to go? So we can't quantify it unfortunately at this point Robert, but we are working on figuring out how that will drive our business going forward. 
Robert Kwan: Anything pacific to FERC policy?
David Hutchens: Yeah, on FERC policy, I mean I just actually was reading an article last night on an interview with Chairman Glick, and I think that that article was saying all the right things. I won’t interpret it for you, but I mean it's out there. It was an SNL article. But in that interview, he was talking about the importance of things like incentives obviously and trying to figure out how we get power lines permitted. We are back to having the conversation again in the U.S. of you know not just the transmission that we needed, but how can we build it better. And back in the day and the Energy Policy Act of 2005, there was a requirement for the Department of Energy in the U.S. to create these national interest corridors. I think that thing has to be kick started again, so that we can figure out how to build a bigger backbone that our transmission system is going to need to interconnect markets and to go long distances to connect in the regional renewable energy resources to where we need them. So, I think that that policy is all going in the right direction. It's going to be democratic led FERC. I'm sure they'll end up with a democratic majority later this year, and in that they're going to have to be addressing the policy and the incentives that are needed to increase transmission. Everybody is aligned with that thesis, and that's aligned with the Biden Energy Transition plan, so I expect to see some good things coming out of FERC on a going forward basis.
Robert Kwan: Okay, and I guess maybe just a few David. Now that you are in the CEO chair, while the valuations differentials have narrowed, just what are your thoughts on payout ratio and leverage and I guess ultimately, do you view the Canadian Utility Stocks or the U.S. Utility Stocks as your peers? 
David Hutchens: So yeah, we look at them both, right. I mean we obviously have both Canadian and U.S. utilities and from a peer perspective, you know we look at everybody, and my goal as CEO is for them to all be looking at us, right. So at the end of the day we want to be the peer that they're looking at, how are they doing so well? How are they getting the trading multiples they are? Because we have the right story from a growth perspective, we have the right story from a greenhouse gas ESG perspective. We got to get out there and tell that story more. So I'm not necessarily as concerned comparing us to them. I just want to make sure that we are looking behind us to see them. 
Robert Kwan: Just any specific comments on payout and leverage? 
David Hutchens: Say that again. 
Robert Kwan: Just any specific comments on addressing payout ratio and leverage? 
Jocelyn Perry: Yeah Robert, with payout ratios what we’ve said is that we are comfortable in the 65% to 75% payout ratio, which are pretty consistent with the Canadian Utilities. The Canadian utilities are higher and U.S. ones are a bit lower. We've said around 65% to 75% we are comfortable with. You know and as we look, like David talked about with respect to the capital plan that we have and the opportunities that we have in front of us, you know we are comfortable with that range. 
Robert Kwan: Okay, that’s great. Thanks very much. 
David Hutchens: Thanks Robert. 
Operator: And your next question will come from Rob Hope of Scotiabank. Your line is open. 
Rob Hope: Yeah, good morning everyone. Just one question from me. How are you thinking about the potential Arizona legislation that will take away generation planning away from the regulator, but it’s kind of more on the ends of the policy makers. Would it be fair to say that your generation in investments in the region may not be altered given that it’s not necessarily being driven by, we'll call it the regulator stated goals, but your own internal view of economics and where you want to take that business. 
A - David Hutchens: Yeah Rob, you nailed it in your note this morning. It actually has nothing to do with what we're doing, because when we put our integrated resource plan out at Tucson Electric Power, it was all about what we needed to do from an economic standpoint, from affordability, clean energy, reliability.  We got everybody in the room when we developed that integrated resource plan. It was what our customers, our community, our regulators, the consumer advocates, this was something that we all circled on and said, ‘that’s the right plan.’ It had nothing to do with the energy rules, because there weren't any energy rules at that time, and it was substantially greater than those existing renewable portfolio standards that exists in Arizona, so – which is actually a very low standard. Its 15% by 2025; we've already past that. So in my mind and our team's mind in Arizona, it doesn't matter. It was – we built that plan and stood it up before the energy rules. This is all about us executing on that plan, because it's the right plan. 
Rob Hope: Alright, that's great, thank you. 
Operator: And your next question will come from Michael Sullivan from Wolfe. Your line is open.
Michael Sullivan: Hey guys, good morning.
David Hutchens: Good morning Michael.
Jocelyn Perry: Good morning.
Michael Sullivan: Yeah, I wanted to circle back to the FERC transmission question there. I know it's hard to really predict, but as you mentioned, there's been a lot of talk around it. Just any thoughts on timing? Is it going to take until we get a democratic majority at FERC and then how does it get effectuated? Is it from FERC? Is it something from higher up within the Biden administration? Just maybe a little more context there would be helpful. 
David Hutchens: Yeah, that's a great question Michael. The timing on what can be done and what will be done is obviously still up in the air. I think the Biden administration wants to move things as quickly as possible, so we're hoping it's quicker, but you got to remember too that as you set policy, it takes a long time for it to basically rollout through the industry. We are you know hopeful that at the end of the day we see some action on well, the big things, right. There's things that we're looking for from FERC in order to streamline things like planning and siting that I mentioned on the National Corridor Conversation, looking at how we better manage queues within the RTO’s for interconnecting renewables.  Cost allocation is always a big deal, incentives, all of those things have to be addressed and frankly in our mind, the sooner the better, because like I said, we know the direction. We'd like to see one, get the pace of that direction; and two, what’s the magnitude for us and how do we get in there, and that's why we're working you know behind the scenes and pushing to get some of these things done through the various trade groups as well. 
Michael Sullivan: Great, thanks. And then my other question was just on, I know you guys didn’t give official guide for 2021, but just any help on key drivers we should be thinking about. I think the earnings growth has been relatively muted in recent years and now you've got this Arizona rates in effect. Should we be expecting a pretty material step out and any other context you can put around that? 
Jocelyn Perry: Well Michael, you're right, we don't give earnings guidance, so my fallback is always that over the long term you know earnings should proxy out where our rate base is over the long term. But it's not linear as you say with things like the UNS rate case that was concluded. They had a decent year mainly because of weather. So as they head into next year, you know with new rates, then I would say that we all have to make our own assumptions with respect to whether, because it's tough for us to sit here and make those calls. But I would say that all of our utilities have cleared the slate on certain regulatory proceedings. There's no cost of capital hearing for 2021, with the exception of Central Hudson and I don't expect any material change there. So I would say all utilities are set up for good growth and we've also level set with respect to the equity that we've done, so that was 2019. So no major drag there from an equity perspective, so we're looking forward to 2021. 
Michael Sullivan: Okay, great, thank you.
Operator: And your next question will come from Mark Jarvi from CIBC Capital Markets. Your line is open.
Mark Jarvi: Thanks, good morning everyone. Maybe yeah, come back to the transmission incentive. I don’t want to beat a dead horse, but just that article that came out last night you referenced David and just – maybe just reconcile what you think in terms of prior defense from Chairman Glick around participation adders, but supportive of it – but he seems like supportive of incentives. So if you had this tenure today, would you kind of square it all up? Is your view still that upward bias on the total set up at ITC?
A - David Hutchens: Yeah, so you guys aren't liking my answer, so I’m going to kick this one over to Linda to provide a little bit of additional color, because she's obviously got this topic front and center. Linda – obviously, Linda’s our CEO of ITC. 
Linda Apsey: Yeah, great, thanks Dave and thanks Mark for the question. Look, I would put it in sort of this context. I mean clearly we don't know right, in terms of exactly what Glick may specifically want to do with respect to the NOPR and certainly I think you know as time moves on, we'll learn a little bit more in terms of at least what next steps are with respect to the timing of the NOPR and ultimately you know kind of the decisions therein.  What I guess I wouldn’t say or what I would emphasize, I mean I know Glick has been certainly you know public in his comments in the past. He's probably not the biggest fan of specific ROE incentives.  But I would say, you know Glick clearly understands the need for you know investment and transmission infrastructure, particularly to facilitate renewables. And so my belief is, and I remain very optimistic in terms of the, you know kind of the actions that FERC will take to continue to drive investment in transmission, and the behaviors that will drive investment in transmission. And while it may not be what I was saying, you know it could modify slightly from sort of this typical all-in ROE adders, to you know really what I think ultimately is really going to be making the transmission pie bigger and so you know I think it's based at a nice job alluding to… You know we're going to see the transmission landscape and the transmission pie get significantly bigger, because I think everyone recognizes that transmission is the key enabler to the Biden, kind of clean energy plan. And so you know may it be, will it be exactly what we've seen in the past, we don't know. But what I do know is that Glick does understand, you know both the role of incentives in driving investment in transmission, as well as you know as I think Dave alluded to, the Energy Policy Act, he’s mandated, he’s required to offer incentives for transmission investments. So obviously we’ll have to take a wait and see approach to see what comes out of there, but I am more optimistic than ever in terms of sort of I think how the landscape is evolving. I've never heard I think so much you know focus and conversation about sort of the central role that transmission plays in meeting our future decarbonisation goals, and the transmission incentive NOPR plays a huge role in that. So I am extremely optimistic about how that NOPR can help drive future investment in transmission and frankly make the transition pie realize both, you know quicker, faster, sooner than it otherwise maybe could have been. 
A - David Hutchens: Yeah Mark, I would just add. I know we're talking about the same article, so it seems that you read it, but I think it was clear and I had to quota an article on an earnings call, but it said that, that Chairman Glick said that the incentives in the NOPR, the reason that he dissented from it before is it didn't go far enough to incentivize lines built pursuant to state and federal policies. Well guess what? We're looking at a whole bunch more state and federal policies in order to get renewables where they need to be, in order to get transmission built how it needs to be, to meet the policy requirements of states and federal governments and you know that to me was a real positive comment. 
Mark Jarvi: Got it! Thank you both and Linda, a follow-up questions maybe on Central Hudson and just it sounds like you entered some settlement discussions. Do you guys have time lines and do you have a sense on whether or not it's a pursuit of a multi-year rate plan or would you go shorter term?
David Hutchens: Sure Michael – oh Mark, sorry. We're going to turn that over to Charlie Freni who's the CEO of Central Hudson. He’s on the line to answer that one.
Charlie Freni : Good morning Mark. You know settlement discussions have just begun, so at this point in time you know we're optimistic that we'll work through it. Hopefully come to a settlement before the July time frame, but it has been signaled to us that it'll probably be a process that will take more than 11 months and typically we have a make whole provision if it goes beyond the end of our rate year. Whether it's multi-year or not, I mean that does come out of the settlement conversation as well. It's quite likely it will be a multi-year that generally is part of the conversation. 
Mark Jarvi: Okay, thank you, that’s all I had.
David Hutchens: Thanks Mark.
Operator: And your next question will come from Andrew Kuske from Credit Suisse. Your line is open.
Andrew Kuske: I guess the question’s really about alternate capital pools and it's something produced in the past, but when we look at the deal with GIC, Duke Energy, Indiana, how do you think about that from the stand point of potential, the use of sources and value that your portfolio gives us today or just for capital deployment in the future. 
David Hutchens: So to sum that up, I don't think Jocelyn was able to hear the question. Looking at alternative capital pools like GIC and Duke and you know bigger picture of how we look at that capital going forward.
Jocelyn Perry: Yeah Andrew, we're always looking at that. Every time we go through our capital planning exercise, we've often said that everything goes back on the table. So it's interesting that these deals are being done to I guess delay any further equity issuances, which you know for the right price I think it's a fair thing to do. I mean we clearly went to market with our equity requirements in 2019, so we're set up nicely for our five year capital plan. But you know listen, if we can grow even further from where we are today, then everything goes back on the table and all of those things are things that we consider every time we look at funding options. 
Andrew Kuske: Okay, that's helpful. And you know a bit different direction for my second question. It really relates to cyber and your cyber security and obviously that's an important industry issue. But in the pandemic environment where I think you said half your employees are effectively working from home, how has the cyber security changed over the period of time?
A - David Hutchens: Yes, yes, definitely. Our attention from a cyber perspective was already ramping up extremely fast, I’ll say even over the past more than five years. The conversations that we have in boardrooms, the conversations we have within our utilities, having CIO's at our large utilities, having a Chief Information Officer ask Fortis to help coordinate all those efforts, and then to obviously add the complexity of having almost 4,500 people working from home over the past year, all of those things have amped up our focus on cyber security.  And then of course you know there's world events too that may you know obviously make you pay more attention to things, particularly us. We do have the criteria, the critical infrastructure that we have, meets the criteria for the federal government requirements, and so we keep a close eye on that. But we have to continuously go above and beyond that, because there is nothing more critical than our infrastructure, because at the end of the day our infrastructure is what provides everybody else's infrastructure the ability to work.  If you don't have the energy flowing, then you will not have an economy flowing. So it is extremely important and right in the center of our bull’s eye from a strategy conversation. 
Andrew Kuske: That’s great. Thank you. 
Operator: And your next question will come from David Quezada from Raymond James. Your line is open. 
David Quezada : Thanks. Good morning everyone. My first question here, just on like your e-connect, I’m wondering if you had any engagements with the Ontario government recently, and what kind of timeline or hurdles you'll be looking at over the next year, just in terms of potentially moving forward there?
A - David Hutchens: Yeah, I'll turn that over to Linda, because she's the one who has her finger on the pulse on that project. Linda, hopefully you heard that question. It was about the Lake Erie connector and status thereof.
Linda Apsey: Yes, I did and thanks David for the question. Yes, I mean we're in continual engagement with the Ontario government as well as the IEI. So with respect to the Lake Erie Connector project, while I don't have any specific kind of status update that certainly I can share, I can continue to say that we continue to remain optimistic based on sort of what I would say, are the conversations, the tenor of those conversations and the progress within those conversations. At the time not able to specifically say, timeline wise when we will have any type of meaningful update, but I would say things remain optimistic for us. 
David Quezada : Excellent! Thank you for that, and then David maybe just one for you. I guess you've been in your seat now for about six weeks. I'm just curious how you are planning to allocate your time over the next, I don’t know, 100 days say and what will be your initial focus as now that you are in your role? 
David Hutchens: Yeah, thanks David. It's actually great to be here in St. John's and I've been here for as of today, 30-days. So it was great to get here and do my quarantine period, which you have to do when you come into Canada and particularly in the St. John’s. So I was glad to get in the office and be able to meet with the team and have some good conversations.  Our focus is beefing up you know the strategy that we currently have. We are very focused on our organic growth strategy and we basically have a whole lot more opportunities that we see that I mentioned earlier coming from the push towards clean energy transition. It’s all about our business, it's all about what we do.  When you're looking at electrification, it needs renewables, it needs transmission, it needs distribution; that's the business that we're in when we're looking at growing the demand, that's a great story for us. When we're talking about electrification of transportation, that's a huge story for anybody who has anything to do with electrons. That’s a way for us to pick up wallet share of our customers and reduce their overall net bills.  So that's the focus that we have, is to look now I think in a much more target rich environment for investments on a going forward basis and a growing environment from I’ll say a use-per-customer basis. I think that's been my focus, it’s been the team's focus and we're really getting after it. 
David Quezada : Thank you very much. 
Operator: And your next question will come from Matthew Weekes, Industrial Alliance. Your line is open. 
Matthew Weekes: Good morning, I just had one quick question about sort of the collection of COVID-19 related costs going forward. So you're tracking those costs and accounts, and sort of going through the proceedings. I was wondering if you’d be able to quantify sort of the upside there versus maybe downsize that you see in costs that you're tracking that maybe aren't related to bad debt or that may not be recoverable going forward. 
David Hutchens: Yeah, so really the only company that we have that’s focused on that is Central Hudson and Jocelyn's got the numbers on that. 
Jocelyn Perry: Yeah Matthew, Central Hudson is still accumulating and providing it to the commission. You know potential upside, it could be $0.002 probably you know, so I would say that’s a potential upside. I won't make any guess as to the success we’re going to have, but that’s a potential upside. 
Matthew Weekes: Okay, thank you. That's it from me. 
Operator: [Operator Instructions] Your next question comes from Julien Dumoulin-Smith from Bank of America. Your line is open.
Ryan Greenwald: Good morning everyone. This is Ryan Greenwald on for Julien. 
David Hutchens: Hey Ryan!
Ryan Greenwald: I appreciate you taking our questions. So just to follow-up on your earlier question around unregulated assets. Can you provide a bit more color on the rate risk return and potential assets you’d be looking at and then how low the cost of capital is from renewable buyers. It seems like it would be tough to be competitive, but just curious how you're framing things. 
David Hutchens: Yeah that’s just it, it is tough to be competitive and we’ll know a good deal when we see one, but we really haven't seen one yet. And frankly, the thing that we need to focus on is the supporting infrastructure around those investments. The actual investments in you know wind projects and solar projects, we can let other folks race to the bottom on returns on those.  What they need is all the good regulated infrastructure to get it from that site to a customer's door and that's what we focus on, is building all of that stuff around it and there will be enough of that stuff to build around it, that supporting infrastructure, whether it's transmission distribution, storage, you know ancillary services, all the things that we need to do and provide as utilities, that's going to be real fertile ground. So we don’t feel it right now that we have the need to go into that last little bit, and so that's where I believe that. 
Ryan Greenwald: Are you guys looking at actual RNG at all? 
David Hutchens: Yes, yes, up in BC, FortisBC, Roger Dall'Antonia and his team had been looking at that. They actually have a goal already, they were one of the first. I mean they were out on the stuff before it was a topic really, and set a 30/30 goal to reduce the greenhouse gas emissions from their customers and a lot of that has to do with focusing on things like energy efficiency, like renewable natural gas.  They're looking to having, I think it's 15% of their supply from RNG, which opens a lot of opportunities for us to invest in that if we can do it within the regulated utility. We can always do that as a combination which we have to date of basically PPAs or purchases or have the opportunity to invest in.  And of course we’re kind of – we around the edges on the hydrogen conversation too. We actually are very active in BC on those conversations, looking at studies on how we would do it, but of course that's early days. Hydrogen is getting a lot of attention, but that's it's. I think its early days in that conversation. But all of that stuff provides opportunities for us to stretch out a little bit beyond just the pipes up there in BC and start getting into the supply a little bit. 
Ryan Greenwald: Are you guys – any particular focus on the non-utility side, just in terms of exploring RNG more broadly as non-regulated assets? 
David Hutchens: No, no, no, it's one of those things you got to get expertise and experience in before you want to do it outside, get out of your nitty and you got to get that expertise, you got to create your own competitive advantage, then you see what you can do with it, so it’s still early days on that.
Ryan Greenwald: Got it, fair enough. And then maybe just lastly. On the FX, it seems like a wait and see from the status quo right now around exploring further hedging strategies, but any more color you can add there around your thought process given the unfavorable inflection?
Jocelyn Perry: Well Ryan, we did take advantage of the market earlier in 2020 and we did put in some additional hedges, so we continuously watch the market. Right now we’re comfortable with what we have and we do continue to just watch it and if the time is right and market condition is in line, we may do a little more hedging.
Ryan Greenwald: Great! I appreciate the time.
David Hutchens: Thanks Ryan.
Jocelyn Perry: Thank you.
Operator: Thank you everyone. I have no further questions in queue. I turn the call back over to Ms. Amaimo for closing remarks.
Stephanie Amaimo: Thank you, Michelle. We have nothing further at this time. Thank you for participating in our fourth quarter and annual 2020 results call. Please contact Investor Relations should you need anything further. Thank you for your time and have a great day!